Operator: Ladies and gentlemen, good morning. Welcome to the T-Mobile US First Quarter 2016 Earnings Call. Following opening remarks, the earnings call will be opened for questions via the teleconference line, Twitter or text message. Those interested in submitting questions during the earnings call through Twitter can do so by tweeting @TMobileIR using the hashtag TMUSearnings or send a text message to 313131, enter the keyword TMUS followed by a space. I would now like to turn the conference over to Mr. Nils Paellmann, Head of Investor Relations for T-Mobile US. Please go ahead, sir.
Nils Paellmann - Vice President-Investor Relations: Good morning. Welcome to T-Mobile's first quarter 2016 earnings call. With me today are John Legere, our President and CEO; Braxton Carter, our CFO; and other members of the senior leadership team. Let me just read the disclaimer. During this call, we will make projections and statements about the future performance of the company which are based on current expectations and assumptions. Our Form 10-K includes risk factors that could cause our actual results to differ materially from the forward-looking statements. Reconciliations between GAAP and the non-GAAP results we discuss on this call can be found on the Investor Relations page of our website. Let me now turn it over to John Legere.
John J. Legere - President, Chief Executive Officer & Director: Okay. Good morning, everyone. Thank you for that exciting introduction Nils, and thanks for joining us. Welcome to T-Mobile's first quarter 2016 Un-carrier earnings call and open Twitter conference and we're coming to you live from New York City. We'd like to keep this interactive. So we'll have up to, as I've said before, 90 minutes for this call to cover as much Q&A as possible. We'll take questions via Twitter and on the phone. We're again providing a live video stream, so Braxton, be sure you smile. So you can watch all the action Behind-the-Scenes on YouTube. For fun, we are also filming today's event with a 360-degree camera and we'll share highlights from that exciting item later in the day. Few weeks ago, we celebrated the third anniversary of Un-carrier, three years since we started our consumer revolution in the wireless industry. Our approach from the beginning has been to put the customer first by listening and then solving their pain points. While we still have a lot of work to do to keep fixing this broken industry, the results show that the strategy is working. We started the year with a strong Q1. We continue to lead the industry in net customer additions, but we're also likely to come in way ahead of the pack in service revenue and adjusted EBITDA growth. Let me share a few highlights from the quarter. Our 2.2 million total net adds in Q1 marked the 12 consecutive quarter with over 1 million net adds and six of the last seven with over 2 million. We added more than 1 million branded postpaid customers. That is the seventh consecutive quarter over 1 million. In Q1, we added 877,000 branded postpaid phone net customers. For those of you that maybe keeping score, that's nine quarters in a row that we've led the entire industry in postpaid phone additions. Now, while not all competitors have reported yet, it sure looks like we will capture all of the industry's postpaid phone growth, again in the first quarter. And in prepaid, where we have the industry's biggest and best prepaid brand with MetroPCS, we added 807,000 new customers, setting a new record for T-Mobile since our combination with MetroPCS. This by the way represents an 11-fold increase in branded prepaid nets year-over-year. It's not easy to grow both sides of the business, that being prepaid and postpaid phones, but we've been able to do that just that for nearly three years in a row. That's right. T-Mobile is the only wireless provider to deliver positive growth in both postpaid phones and prepaid for the last 11 quarters. By the way, no one else has been able to do that for more than a year. Porting ratios tell the same story. Q1 marked the 12 quarter in a row, that's three years running, with overall positive postpaid porting ratios, and we've now had over nine quarters in a row where T-Mobile has been positive against every major carrier. Think about that for a minute, every major carrier. You may have noticed this was the quarter where the competition got more aggressive with bounties targeted at T-Mobile customers, from ETF offers of up to $650 to $350 EIP buyouts, anything to try and slow us down. Clearly, we have them rattled and it's a beautiful thing to watch. It's definitely an interesting time to be in wireless. Verizon is on a spending spree to try and buy access to Millennials, buy a 1990s internet companies, and they're spending tens of millions in ads directed at us including their Balls campaign and their Ricky Gervais commercials. When the schoolyard bully starts calling you out, you know you've arrived. Unlike Verizon, AT&T's strategy is really clear, bundle everything. But read the fine print, and surprise, their bundles require a two-year contract and prices go up in year two. Oh, and one of AT&T's first big moves in a really long time was to offer unlimited data plan to DirecTV subscribers. They even bragged at an investor conference about signing up 2 million of their existing customers, well done. And Sprint, did they really do focus groups and package it up as a listening tour? We saw how that went. Well, I think I'm just going to leave that one totally alone. With all this happening across the industry, we're staying focused on our core business and seeing our momentum continue into the second quarter. We're seeing positive postpaid porting against all of our competitors, trending in line to slightly better than Q1 with both AT&T and Verizon. And, we don't just win them, we keep them. Our customers continue to stay with T-Mobile in near record levels. Branded postpaid phone churn in Q1 was down 13 basis points quarter-over-quarter to 1.33%, and generally maintaining itself at the record low from last year's first quarter. And like I said, we're delivering rock solid financial metrics too. The numbers speak for themselves. We are rapidly translating customer growth into revenue and adjusted EBITDA growth. In Q1, we delivered year-over-year service revenue growth of 13% and year-over-year adjusted EBITDA growth of 98.1%. Even excluding the spectrum gain, adjusted EBITDA grew at an impressive 52%. Our continued success and momentum means we will keep investing to fuel growth, with particular focus on the network build out, growing our retail distribution and more uncarriables. Our aggressive network growth continues. We now have 308 million 4G LTE POPs covered and we are virtually on par with Verizon. We've had the fastest 4G LTE network for nine quarters in a row that produced speeds averaging 22 megs in Q1. Our deployment of extended range LTE in the 700 megahertz A-Block spectrum band is way ahead of schedule. More than 340 markets are live covering approximately 194 million and customers are seeing the benefits. Now, we are far from done here. As I already mentioned in the last earnings call, we've entered into agreements to acquire a low-band A-Block spectrum covering another 48 million POPs. With these acquisitions, our low-band spectrum footprint will extend to 258 million POPs, or about 80% of the U.S. population. The spectrum is in cities like Nashville, Salt Lake City, Columbus and Jacksonville. We intend to build out these additional areas as rapidly as we built out the first 194 million POPs. Also, the upcoming incentive auction is a historic opportunity as we've said before and we plan to participate with a successful outcome. Our network expansion creates an opportunity to grow our retail footprint as well. Today, we have 230 million people close to our brand of postpaid stores and we plan to grow that footprint to 260 million to 270 million, especially in suburban areas. And you didn't think we would stop our Un-carrier moves, did you? An Un-carrier move always makes me stumble. It's been three years since we launched our first Un-carrier move. And by the way, we have no plans to stop. Stay tuned, because Un-carrier 11 is coming soon. In summary, the first quarter was another great one for T-Mobile. 2016 is rapidly delivering great customer growth, outstanding financial results and creating value for our shareholders. Our customer momentum continues and it appears that we delivered the best service revenue and adjusted EBITDA growth in the industry. Three years in, the Un-carrier continues to be a disruptive and innovative force in wireless and that's a good thing for American consumers. Now, I'll hand it over to our CFO, Braxton Carter for key financial highlights and an update to our full year 2016 guidance.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Well, thanks, John, and once again, I am so excited to share our strong financial results and once again update our guidance, which we did every quarter of last year. Let's start with the financial results for the first quarter. Our customer growth is translating into strong financial growth as we once again delivered industry-leading metrics. Service revenues grew by 13% and adjusted EBITDA came in at $2.7 billion in the first quarter, up 98% year-over-year. EBITDA, as already mentioned by John, benefited from a spectrum gain of $636 million. Excluding this gain, adjusted EBITDA increased by 52% year-over-year and the adjusted EBITDA margin expanded from 24% to 32%. Adjusted free cash flow improved year-over-year from minus $422 million to minus $247 million. Net cash from operating activities almost doubled and was partially offset by higher cash CapEx. Cash CapEx was approximately $350 million more front-end loaded this year due to our aggressive 700 megahertz A-Block rollout. This is just a timing issue, which we will normalize in the course of the year. From a working capital perspective, compared to Q1 last year, we saw higher outflows due to inventories in connection with leasing and a decrease in accounts payable partially offset by a reduction in EIP receivables. We continue to expect in significant improvement in free cash flow this year. Net income and earnings per share were up strongly year-over-year. EPS came in at $0.56 per share compared to a loss of $0.09 per share in the first quarter of 2015. The after-tax impact of the spectrum gain on EPS in the first quarter of 2016 was $0.46. Branded postpaid phone ARPU declined sequentially due to the impact of Data Stash. However, if you correct for Data Stash, ARPU was generally stable both sequentially and year-over-year, which is a significant achievement if you compare our ARPU development to that of our competitors. Let me also say a word on bad debt expense. As predicted, bad debt expenses and losses from the sale of receivables came in lower in the third quarter of 2015, and generally in line with Q1 of last year even with rapidly ramping total customers. Relative to total revenues, bad debt expense and losses from the sale of receivables declined both sequentially and year-over-year. Also, as already said on the last earnings call, we were prudent with our credit policies during the first quarter of 2016 in order to limit exposure to higher sub-prime receivables. Let me now come to our 2016 guidance. In light of the strong customer growth we experienced in Q1, we are taking up our target for branded postpaid net additions to 3.2 million to 3.6 million, up from the original target of 2.4 million to 3.4 million. For adjusted EBITDA, our new target is $9.7 billion to $10.2 billion, up from the original of $9.1 billion to $9.7 billion. This increase is due to the spectrum gain of approximately $600 million. Our EBITDA target includes the aggregate impact from leasing and Data Stash of $700 million to $1 billion, which is unchanged. Finally, we target cash CapEx of $4.5 billion to $4.8 billion in 2016, which is unchanged from the prior guidance, as already mentioned. Let me also say a word on our expectations for the second quarter of 2016. Please be aware that results in the first half of 2016 will be impacted by new revenue deferrals associated with Data Stash. Remember, Data Stash, we received the cash consideration upfront, but the recognition of that is deferred to future periods. For the first quarter 2016, the actual impact amounted to $138 million. For the second quarter, the impact is expected to be approximately $70 million to $90 million. For the full year, the impact is still expected to be in the range from $250 million to $350 million. Additionally, as in the first quarter net income, we'll also be impacted by higher depreciation due to the impact of leasing and higher interest expense due to the $4 billion fundraise in November and the $1 billion fundraise just completed on April 1 at the beginning of this quarter. When looking at the shaping of quarters for 2016, please refer to historical trends over the past two years. We are executing on a countercyclical game plan of loading growth in the beginning of the year, which results in increasingly ramping cash flow throughout the year. I am also pleased to announce, we've reached agreement with Deutsche Telekom and issued an 8-K this morning for $1.35 billion add-on to our recent eight-year 6% unsecured notes priced at an effective yield of 5.14%. This is essentially a fully committed bridge that could be drawn at our option with terms and conditions pari-passu with our existing unsecured notes. We are also in discussions with Deutsche Telekom for an additional $650 million bridge, which will end are current fundraising efforts for an amount totaling $9 billion. In summary, we delivered very strong financial results in the first quarter and expect continued strong growth in 2016. Now, let's get on to your questions. You can ask questions via phone, text message or via Twitter. We will start with a question on the phone. Operator, first question please?
Operator: Thank you. And we'll take our first question today from Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley & Co. LLC: Thank you very much. Good morning. Some very good results on the prepaid side. I mean, John can you just provide a little bit more color about are we seeing prepaid, as a segment, really start to rebound and become more relevant for different customers? Is this mostly share gain? Perhaps some insight into how sustainable this is for the rest of the year. Thank you.
John J. Legere - President, Chief Executive Officer & Director: Yeah, Mike. Why don't you start that one?
G. Michael Sievert - Chief Operating Officer: Yeah. I think the premise of the question is that there's a segment phenomenon going here and that's exactly what we're seeing. Two things are happening. One, we're seeing high quality monthly prepaid of the kind that we offer with MetroPCS really growing. It's growing at the expense we think of postpaid offerings like those at Sprint and it's growing at the expense of lower quality pay-as-you-go prepaid. And so that high quality network-led monthly prepaid segment is growing; that's the first phenomenon. The second phenomenon is within that segment, MetroPCS is kicking ass. Now we had a record quarter on MetroPCS, the best we've ever done, and it really shows that we've got the right combination of a great value proposition, well marketed, and really taking advantage of leading with the T-Mobile network as a key differentiator in the prepaid segment. So the team is really firing on all cylinders.
John J. Legere - President, Chief Executive Officer & Director: Yeah, I appreciate the question, Simon. This is a number of things. One of them is record – and I amplify that results for MetroPCS, and MetroPCS is showing us the value of a couple of things, which is we've expanded their business from the time that we came together into 40 additional markets, a total of 55 markets now. And we've grown in both the original markets as well as in the expanded markets. And we're up to – you know, we have 7,500 dedicated doors with MetroPCS and we're adding 1,000 doors this year and very strong solid ARPU on the prepaid side and very good churn on the prepaid side for prepaid business. So, we are thrilled with what's taking place on Metro. And I actually think that our competitors have yet to figure out a way to successfully and simultaneously run a prepaid and a postpaid phone business. Sprint has had one quarter, a year-and-a-half ago or so, about prepaid and then all of a sudden thought nobody cared and they dropped it like a hot potato and ran over to postpaid, and lost quite a bit of business. AT&T has been doing some business with Cricket, but I don't know if anybody is keeping track, AT&T has not added a postpaid phone customer since Q3 of 2014. So, 11 quarters in a row of both businesses with the brands simultaneously performing very well I think this is a very big deal and I think it even gave Verizon pause to try to make up some answer of, hey, we do that with TracFone. So, very excited about this and I met with the dealers of Metro last week in Dallas and they're an equally excited and highly motivated group.
Simon Flannery - Morgan Stanley & Co. LLC: And how much of...?
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Not to forget, the Metro model has been historically contra-cyclical to general trends in the postpaid business. The first quarter is also the golden quarter for that type of model, given the liquidity from tax refund standpoint in the market. But we do see a lot of continued momentum, both in legacy markets and expansion markets with MetroPCS.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thanks a lot.
G. Michael Sievert - Chief Operating Officer: Yeah. And, Simon, I think one of the things – I'll use this moment to talk about because this is one of the little golden nuggets in this set of earnings. Remember that the ARPU at MetroPCS is it's $38, $39 each. So this is a very steady, very good ARPU. And I think as we start talking about customer adds and then you go through the portfolio of T-Mobile's 2.2 mobile adds and you look at 877,000 postpaid phones, and we know those are the highest ARPU, and then over 800,000 prepaid net add a really strong and then you compare that to the other guys, I think what we need people to start understanding is that some of these adds, a lot of these adds, these connected cars, these are cents, not dollars. And now I understand that, Hum, which is that little device to make sure your kids don't drive out at night and get drunk somewhere, is going to be less than $10. So what I'm most excited about is these numbers and the qualitative components of what the underlying financials are are very, very strong.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you.
John J. Legere - President, Chief Executive Officer & Director: We'll take the next question, Operator?
Operator: Thank you. We'll take our next question from Amir Rozwadowski with Barclays.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much and good morning, folks.
John J. Legere - President, Chief Executive Officer & Director: Good morning.
Amir Rozwadowski - Barclays Capital, Inc.: I wanted to touch upon the churn metrics and how you folks are thinking about that going forward. While they still remain low relative to where they had been in the past, we did see a slight uptick on a year-over-year basis. I was wondering if you could talk through that and then I have a quick follow-up question.
G. Michael Sievert - Chief Operating Officer: Yeah. I'll start that. See if guys want to add in. I think this is – when you look at a set of results that are so perfect you try to find something. The way I would describe this is sequentially we were down 13 basis points and the year-over-year postpaid churn is basically flat, 1.33% to 1.3%, and it's basically flat year-over-year to our record performance. So you should color us very happy and enthusiastic about that level of postpaid churn being tied with our record results being down sequentially in a highly competitive time. But certainly don't read into that that we don't think it can get better. The moral of the story is all of what's in this set of metrics; we are very comfortable and happy and can perform extremely well. So we would look at these as year-over-year flat with record performance and possibly an ability to go down from here putting aside normal seasonality trends.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: And Amir, I think one thing to focus on is the 700 megahertz A-Block rollout, which we now own 258 million POPs. And the benefit of having low band starts in (23:58) our portfolio and this trend is really just starting with the 194 million total POPs rolled out of low band and a little over half of our customers having a band 12 capable handset. We are going to see a lot of future goodness developed from that 700 megahertz A-Block and the development of the ecosystem and that provides us with quite a bit of optimism for the future.
Amir Rozwadowski - Barclays Capital, Inc.: And that's a great transition to my follow-up question. I'm thinking about your net add performance for the quarter. Is there a way to delineate whether or not you folks are seeing benefits from the rollout of 700 megahertz to areas where perhaps you didn't have a stronger reach before or is that sort of forthcoming and how we should think about sort of the opportunity set for further net add gains?
G. Michael Sievert - Chief Operating Officer: Yeah, it's Mike, Amir. Yeah, definitely started, you know, what's interesting is as you've seen the network stats how rapidly we've rolled out extended range LTE. One of the things we've pointed out is that the distribution lags that. So we've got a formula here, let's get the network great and then follow it in with distribution and marketing. And, right now, if you look at all these results, and how we're rolling up all of the growth in the industry, really we're playing with that full formula of a completed network footprint plus full distribution at our normal distribution densities in about 230 million of those national POPs. So that means we've still got a-third of the country left to go. Now we've been growing. Already, this quarter, we've built dozens of stores, we plan to do about 400 stores on the postpaid side with the T-Mobile brand this year, about 1,000, as John said, with the MetroPCS side. So we have a lot of expansion in front of us. We see an opportunity by the middle of next year to add 30 million or 40 million POPs to where we have that full, I'll call it, marketing footprint with the distribution in place, the network substantially complete, and marketing on top to emphasize our differences.
John J. Legere - President, Chief Executive Officer & Director: And I think obviously the piece that we'll find ways to point out clearer is the actual turn benefit that we're getting because of this broader coverage and superior coverage. You remember that this 700 megahertz that we've deployed, 8 of the 10 top cities in the U.S. and 28 of the top 30, this is an enhancement to where we've had pretty good coverage already, just significantly changing what you get with as we've called it 4 times better coverage. It's better in-building penetration, better rural coverage around those areas as well. So, the two things. One is, churn benefit, which I think we can quantify, and then, of course, as Mike said, we're getting – we have tremendous incoming demand from where we now have really good coverage but call it within 10 square miles or so there is no T-Mobile retail presence and I think that's something that we're ramping up very quickly.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much for the additional color.
John J. Legere - President, Chief Executive Officer & Director: Thank you. Do you want to – guys you want to take one on Twitter or... let's see. Well, let's try, pull down – the other way, please, okay. We are going to take – why don't we take these two from Kyle and from Andrew. We know Kyle. He is our young future superstar journalist, who is written into us, but it's an interesting opportunity to talk about a couple of things. Has T-Mobiles go with recent Un-carrier moves such as Binge On and Music Freedom been to eliminate the data package? Now, obviously the answer is no. But we will use this to remind people that a tremendous part of what's happening in T-Mobile are because of these underlying Un-carrier moves and the transformation of the industry. So, when you go through periods that are somewhat promotional, which we certainly just finished a quarter that was like that. The guys I think the competitors are starting to figure out, okay, so you put out your promo, you put out your price change but it's not apples-to-apples anymore. Because, as an example, 225 million songs are streamed free now by customers at T-Mobile on Music Freedom. There are a 100 different providers on Binge On and Music Freedom that are now providing free streaming of music and video and Binge On has already allowed our customers to be streaming over 70% of their video zero rated and two times the amount of video being watched. I think we've also gone out of our way to explain that the kind of utilization of our network providing these benefits to our customers has been a positive enhancement. So this is in no way an attempt to move away from data package or data utilization. It's a highly effective positive way for the financials of our shareholders but also for our customers. And I believe Binge On especially has been a very differentiating offer and continues to be so. Let's go back to the phone for one more and then we'll look back and get a little clearer here on the Twitter questions.
Operator: Thank you. We will take our next question from Brett Feldman with Goldman Sachs.
Brett Feldman - Goldman Sachs & Co.: Thanks. And I will ask a follow-up question on Binge On. Now that you had that capability available to your base for a while, have you noticed anything interesting about the behavior of customers who are heavy Binge On users so, for example, as someone who is a heavy Binge On user less likely to churn and is there any evidence that Binge On is a key reason that customers are switching to T-Mobile?
John J. Legere - President, Chief Executive Officer & Director: Do you want to start, Mike?
G. Michael Sievert - Chief Operating Officer: Yeah. The short answer, Brett, is yes and yes. We haven't broken it out. But what's interesting is if you think about an Un-carrier move, in order for what John said to be true, what he just said was that people on rated data plans at T-Mobile have literally doubled their consumption when it comes to hours of what they consumed on our network before Binge On. I mean, think about for that for a minute. In order for that to be true, literally millions and millions of people needed to take this Un-carrier move and substantially change their behavior in a way that allows them to get way more value out of their wireless relationship. That means two things are going to happen. One, they're going to be happier with that wireless experience and stay longer and we're seeing that. And secondly, they're going to tell people about it. If you're able to do something like this, you're going to tell people about it, because it's massively differentiated. And you see two great quarters, Q4 and Q1, as examples of how Binge On is contributing to our results.
John J. Legere - President, Chief Executive Officer & Director: Yeah. There's two things, Brett, that's going that both bode very, very well for the future of T-Mobile. One of the things that's interesting, not only have we already talked about expanding our retail footprint, but the Un-carrier moves, which are great ways to solve customer pain points, our study suggest that the awareness level around the United States of potential customers of these various Un-carrier moves is in some cases well below 50%. So we've now been training our teams for that moment when we get customers that are coming in considering T-Mobile. This portfolio of Un-carrier move is a great selling point to a very unaware at times audience. Those that do use it are clearly our most dedicated customers: a), because they feel like we're changing things for them and b), because they now see the depth of what the capabilities are. Now the other interesting thing that's happened is when Binge On first came out, there was a lot of fear, uncertainty and doubt on a couple of fronts. One was, oh yeah, but you know, Google hates it and we can't use YouTube. Well, we've solved that and that was a big enhancement. But then there was this crazy notion and this lack of belief that are – we understand and our network team understands that 480p, for example, to watch Netflix video is a very perfect quality experience and we're not trying to trick anybody. Now what customers ultimately found out is not only the 480p for Netflix is it a great experience and it's zero-rated, but it's 133% of what's being given to the other groups by AT&T and Verizon. And I think that just caused a big thud on the floor as to what's going on. I won't even bother going back in trying to pick up the question of who knew what, when, but I do hope at some point in time that direct questions get answered. But the people that don't really care are the customers now. And if you're a Verizon customer and you realize for five years you've been watching Netflix at 360p and you've been paying significantly in data buckets, I think what you call that is a highly interested future T-Mobile customer.
Brett Feldman - Goldman Sachs & Co.: Thanks for the color.
John J. Legere - President, Chief Executive Officer & Director: Okay. Operator?
Operator: Yes, sir. We'll take our next question from Phil Cusick with JPMorgan.
Philip A. Cusick - JPMorgan Securities LLC: Hi, guys. Thanks. Two things. One, you've tightened credit some this quarter versus last year, what was the result on incoming customer credit quality? And now that we're past the 1Q tax window, do you expect to open that up again?
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Yeah. Phil, good morning, and a very good question. When you look at the disclosures we have in our Factbook, adjusted for the EIP securitization, the mix of prime and subprime is unchanged. So the credit policies that we put in place in the first quarter particularly oriented towards what happens during the – particularly in the month of February, which is the peak tax refund season were highly successful. And the changes that we put in place did not affect our flow one bit as you can see from these results. And they are permanent changes going forward.
Philip A. Cusick - JPMorgan Securities LLC: Okay. So we shouldn't expect that to open back up?
J. Braxton Carter - Executive Vice President, Chief Financial Officer: That's correct.
Philip A. Cusick - JPMorgan Securities LLC: And then second, can you talk about free cash flow for the year excluding spectrum and whatever spectrum interest expense comes through, how should we think about cash flow generation for the company.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Yeah, significantly ramping, Phil. When you look at the core EBITDA guidance sans any spectrum transactions and adjusting for very transparent disclosures on the impact of leasing and Data Stash, the cash generation of this business organically from operations is rapidly ramping. And we just reiterated our cash CapEx guidance. One of the benefits of what we did essentially having $4 billion worth of bridge with Deutsche Telekom is avoidance of any interest carry on that part of our fundraise. We executed $5 billion that went on to balance sheet at very attractive rates and what we've done with the bridge locking in rates now and avoiding any future exposure is another very significant development. But it's very easy to do the math and see that organically there is going to be a very substantial ramp in the true cash generation on a fully levered basis plus/minus all changes in working capital for 2016.
Philip A. Cusick - JPMorgan Securities LLC: Okay. Just to follow-up there. Including the $650 million that you're talking about with DT and the $1.35 billion this morning, what's your total liquidity and what do you need to run the business?
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Well, we ended the first quarter with about $6.5 billion; that included $5 billion that we had previously raised for purposes of spectrum acquisitions. We got a $4 billion bridge on top of it, so that takes it to $10.5 billion. In the first quarter, we did pay the first transaction we executed in the third quarter for 700 A-Block, so that's already out of that number. And the minimum liquidity for the business is roughly $1.5 billion to $2 billion.
Philip A. Cusick - JPMorgan Securities LLC: Okay. Thanks, Braxton.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: You're welcome.
John J. Legere - President, Chief Executive Officer & Director: Okay. Let's go to a couple of Twitter and Facebook questions. David Freeman (37:05) wrote in, what's the expected POPs to be covered by band 12 by the end of 2016? Neville, why don't you talk about that and maybe even how many band 12 handsets we've seen deployed, et cetera?
Neville R. Ray - Chief Technology Officer & Executive VP: Yeah, sure. Thanks, John. So band 12 has been – we made incredible progress over the last 12, 18 months. And, at the top of the call, you heard we're at 194 million covered POPs to-date, well ahead of the plan and schedule that we put in place originally on this. As we look at 2016 and into 2017 with almost 260 million POPs – licensed POPs now available for us to run at, obviously, we're going to run at everything. We haven't finalized all of the details yet. But if you look at our track record on how quickly we're rolling out the 700 MHz spectrum, I don't think you're going to see anything different in 2016. And hopefully, there's more opportunity in the secondary market. Obviously, we're in the auction, but there's still a 700 MHz market out there and we'll look to add to our holdings if those opportunities arise. Braxton mentioned the handset growth and it's a tremendous piece. We've almost got – it's about 55% now of our LTE handset has band 12 capability, and that's incredible progress in a very short period of time, and that number continues to grow and drive north every week. So, a great portfolio of band 12 handsets. Everything we sell now is effectively band 12. And the network benefits that you heard Mike and John talk about earlier on, this is a very different network from T-Mobile compared to where we were three years ago. Low-band has made an incredible difference for the performance of the network and what's reaching our customers and we will continue that drive this year and next.
John J. Legere - President, Chief Executive Officer & Director: Okay. I'm going to take one more Twitter and then we'll go back to the long and growing list on the phone. Andrew Beal (39:06), we answered half of this question, but I think we can do some work on. Can you talk about the growth in your marketing footprint and explain how that is driving increase in selling expenses? Mike, why don't you talk about that because I think it's – or Braxton as well – the question to doing with an assumption that selling or SG&A?
G. Michael Sievert - Chief Operating Officer: We kind of hit the first part. Obviously, we're expanding our footprint. But the other piece, keep in mind, and this is really interesting. I mean, the overall growth in our branded nets this quarter in Q1 from last quarter in Q1 was 54%. So when you look across postpaid and prepaid, obviously, the branded side of our business is growing incredibly quickly, and that is great for us in the marketplace, it allows us to set the foundation for us. It also drives the SG&A expenses in the period.
John J. Legere - President, Chief Executive Officer & Director: Okay. Operator?
Operator: We'll take our next question from Matt Niknam with Deutsche Bank.
Matthew Niknam - Deutsche Bank Securities, Inc.: Okay, guys. Thank you for taking the questions. Just two, if I could. One on leasing versus EIP. So, in the past, you talked about 1Q having a greater shift back to EIP-centric promotions, any takeaways you can share regarding the customer response and how you are thinking about that mix looking forward? And then secondly, just on the EBITDA guidance, excluding the spectrum gain in the quarter, it looks like you've tightened the high end of EBITDA guidance by about $100 million. Just want to make sure that was entirely tied to the better growth expectations for the year. Thanks.
John J. Legere - President, Chief Executive Officer & Director: Okay. Mike and then Braxton?
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Yeah. What was the first part?
John J. Legere - President, Chief Executive Officer & Director: Why don't you do the second part?
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Yeah, Matt, good question. We did narrow the range on our EBITDA guidance. That is solely a function of the increase in postpaid production that we've guided to this quarter. Nothing else was behind that. As you can see, the low end of the range is fully intact the way the guidance is built.
John J. Legere - President, Chief Executive Officer & Director: And Mike, for those of you at 5 AM Seattle time, the question was on leasing and EIP.
G. Michael Sievert - Chief Operating Officer: Yeah. Got caught up on the second. Yeah, it's really pretty straightforward. I mean, we have two great approaches to bringing financing to the marketplace. One is EIP and one is leasing, which our first version of last year was JUMP! On Demand. And right now, we're much more focused, as you can see in the marketplace, on EIP. You saw in our results from Q1 that leasing as a percent of total devices fell to about 14% and that really is not a statement on our future; it's a statement on our present. And what we found is that of the products that we have in place right now, the one thing, our team is much better at selling our EIP solutions. We've got great systems behind that, it's a faster transaction, it's an easier transaction, but that's not a statement of EIP versus leasing. That's a statement of the products we have in the marketplace right now. So we have a couple of great approaches. What I can tell you is that the guidance that we've given for the year contemplates generally what we expect to do through the balance of the year. It's not to tell you a quarter-by-quarter view on where we'll be emphasized, though, and part of it is to protect some ability to have competitive surprises out there as we continue to evolve our offerings.
Matthew Niknam - Deutsche Bank Securities, Inc.: Okay. So as it stands now, though, I think it's fair to assume EIP remains the bulk of growth relative to leasing, just based on what's implied by lease revenues for the year?
G. Michael Sievert - Chief Operating Officer: When you look at the guidance that we've given and you do the math on the current leasing revenues, it implies that we'll be continuing to do an awful lot of EIPs, and you see our emphasis there right now. But I can't make you any statement quarter-on-quarter about what the mix will be.
Matthew Niknam - Deutsche Bank Securities, Inc.: No worries. Thank you.
John J. Legere - President, Chief Executive Officer & Director: Okay. Operator, next one?
Operator: We'll go next to Mike McCormack with Jefferies.
Mike L. McCormack - Jefferies LLC: Hey, guys. Thanks. Braxton, maybe just a quick comment. I'm looking at handset phone ARPU ex-Data Stash impacts throughout the year and maybe just give us a sense on the puts and the takes as you think about that. And then secondly, from a subscriber standpoint, obviously, a great job on getting handset outs coming in. Did the unlimited discount plan have significant impact there or was that not as popular?
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Let me start with the first. I'll hand the second over to Mike. When we look at ARPU adjusted for Data Stash, which, remember, is cash consideration received upfront, just deferred recognition, the first part of the year is disproportionately impacted. Last year, we gave a gift. There was no gift this year. So you essentially have the whole base deferring up to the 20 gigabyte cap, which we anticipate will predominantly happen in the first two quarters of 2016. With that said, there will absolutely be a ramp in ARPUs over the next several quarters as we're getting past that disproportionate upfront impact. When you look at everything sans or excluding the impact of Data Stash, what we saw in the first quarter was actually a 0.3% sequential increase in our postpaid ARPUs, which shows that there is underlying strength from Data Stash, from other things that we're doing in the marketplace and the construct of our promos, and that's even with a very aggressive promotion environment oriented towards family plans. Remember, the vast majority of our flow is coming from AT&T and Verizon, and the percentage of those two incumbents' bases on family plans is well over 80%. So the family plan construct is very favorable for us in taking share and the MPV of those families and the CLV is really much higher than a single line. So it puts a little drag on ARPU, but you can see the way we're executing everything else, we actually increased 0.3% sequentially. Our outlook for the year is general stability of ARPU ex-Data Stash, and that has been our position for the last several quarters and nothing has changed there.
G. Michael Sievert - Chief Operating Officer: And for the other part of the question on unlimited. Yes, promotion was a contributor. We had a great lineup of promotions throughout the first quarter. I would say the differentiation around ongoing network improvement and Binge On were the biggest contributors to Q1 performance, but so are our sporadic promotions that we pulsed into the marketplace. In Q1, it was based on our unlimited offer, where we had a four-line offer out there with the fourth line free on unlimited. Couple of comments. One, we said at the time that unlimited isn't really our focus. And I'll tell you why; because Binge On is our focus. And so that was a promotion that we had in place for a time. But overall, if you look at our value proposition, we're focused on letting people have unlimited video and unlimited music at much better price points than they can achieve with unlimited plans overall. That said, we're really proud to be able to offer unlimited. We've got the network that has the capacity and we don't have any plans to change the fact that we offer unlimited. And by the way, keep in mind that offering unlimited has become much more network efficient since the launch of Binge On because the vast majority of our unlimited customers keep their Binge On control activated for a number of reasons, including the speed and reliability of the rest of their data. So that makes delivery of unlimited to those customers much more network efficient for us than it's ever been before.
Mike L. McCormack - Jefferies LLC: Mike, as a follow-up on the unlimited stuff, did you see as you expected sort of more people being brought up in ARPU into the plan as opposed to those pricing down?
G. Michael Sievert - Chief Operating Officer: Of course, but it was also a promoted plan. So unlimited is our most expensive offer, which helps to draw ARPU up. But on the other hand, for those that would have bought unlimited anyway, it was a promoted offer and it had an effect of bringing ARPU down. Net-net, I'm sure it was a small contributor.
Mike L. McCormack - Jefferies LLC: Great. Thank you, guys.
John J. Legere - President, Chief Executive Officer & Director: Okay. I want to go into Twitter here and I have to give the persistence award across all platforms and multiple questions to Bill Ho. So Bill, you wore me down. I'm going to take a couple of your questions. One of them is kind of a softball to me, so I thank you. That's probably the one that got my attention, and then we'll go into your second question. But first question that Bill had asked is, is follow-up in postpaid customers, what are the main reasons for porting or specifically value price Binge On, et cetera. And I think, Bill, you're leading the witness with that answer. Why customers are coming or porting away from Verizon and AT&T to T-Mobile has as much to do with what they're not doing and how they've been treating them with the stated long-term now three-years intent of T-Mobile to fix the industry on behalf of all wireless consumers. And the list goes on and it still exists: contracts, overages, fees, bundles, international data charges, not even to mention some of the positives that you've gone on to, which are music streaming, video streaming with Binge On. And then quietly, we have consistently now been for three over the last four quarters in rising JDP's number one, so we have a differentiated customer service experience, a differentiated in-store experience, because we've got highly engaged people that believe in our brand and believe in our company. And all of that together has created an environment where I would say we have as many fans who are sitting inside AT&T and Verizon thanking us for the changes that we're causing their carriers to make as we do with those that have come. So I'm very excited about how long this can take place. Now, the next piece of your question, I'm going to ask Mike to comment. It's about T-Mobile At Work and about – well, you used the word enterprise space, which for us is much more focused on small and medium business. But any traction in the enterprise base wins from competitors expand to complex solutions, et cetera. So you want to talk about At Work, Mike?
G. Michael Sievert - Chief Operating Officer: Yeah. It's been a little bit surprising on At Work. We said very clearly when we launched Un-carrier 9 about a year ago that our focus was on small and medium business. And we updated you once or twice since then and said our run rate with that group had doubled. Well, now it's significantly more than doubled. So progress continues with small and medium business. The thing that we're surprised about, though, is the ongoing performance in our enterprise business. And I think what's happening is the network results that we've been able to post and the rapid improvement in the network over the last year has caused a major reassessment of our business by enterprise customers who may be a couple of years ago just didn't put us in the considered set because enterprises customers have a known set of needs around where their employees need to be able to travel. And there's two ways we're winning with enterprises. One is we're managing to wedge in and take a share at a number of – a large and increasing number of the Fortune 500 where we don't become the incumbent leader in that enterprise but we go and take some significant share. From where we're starting that's really great. If we can help enterprises to re-price their AT&T and Verizon deal, we're very happy to do that and we considered a service to the industry. If they give us some share along the way that's great. But the other thing is we are actually getting some signature wins while we're taking all of the business from AT&T and Verizon and that's nice to see as well. So, overall, the progress since we began our strategy about a year ago has been terrific and more to come.
John J. Legere - President, Chief Executive Officer & Director: Okay. Thank you, Bill. We look forward to your next 10 questions across all platform. The next one on the phone, please?
Operator: We'll take our next question from Michael Rollins with Citi.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Hi, thanks for taking the questions. Just a couple, if I could. Just given some of the comments you made on spectrum, is there an update on your spectrum budget for 2016 and within that context, how are you thinking about the FirstNet RFP opportunity? Thanks.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Yeah. I'll take the first one. Hey, good morning, Mike. Yeah. We are in the quiet period on the auction and really not in a position where we can discuss anything other than prior comments. But we were very clear in our public disclosure leading up to this quiet period about what our total envelope was. And I did comment in the prepared remarks section that we have raised the total of $9 billion and then also discussed the minimum liquidity requirements of the company. So I will leave it at that.
Neville R. Ray - Chief Technology Officer & Executive VP: I can pick up the second piece on Mike on FirstNet. Obviously, we are very supportive of the objectives of the FirstNet team and what they're trying to get done for the good of public safety, it's a big goal. I think, for us, at this point in time, we've talked a lot about where we are with the low band push and that's the primary focus for us at this point in time both in terms of rolling out and continuing this rapid rollout of 700 megahertz and in addition back to the first part of your question is this focus on the auction. So timing is not great for us in terms of that opportunity and maybe the complexity it could bring to our business at a point in time when we're driving so hard on low band rollouts. So, at this point in time, nothing to really update. The RFP I think is closing somewhere inside this quarter and it's probably doubtful that it will be a significant player in that.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Thanks very much.
John J. Legere - President, Chief Executive Officer & Director: Okay. Operator?
Operator: We will take our next question from Walter Piecyk with BTIG.
Walter Piecyk - BTIG LLC: Thanks. As of yesterday, Verizon was talking about basically going after home broadband connections. I'm just curious if you have any plans for this segment? It sounds like it would take a different type of customer premise equipment than just expecting the end user to have their smartphone or tablet or whatever. So do you have any plans to go after this segment over the next couple years either with or without 5G?
John J. Legere - President, Chief Executive Officer & Director: I'll lead into that Mike and then you pick it up. While following you around I would strongly suggest that that crappy coverage you're getting on your Verizon and your Sprint handsets while you're doing those lame Periscopes would suggest that you should worry less about your home broadband than more about getting some good T-Mobile connectivity. Secondly is, I think it's interesting to hear some of what Verizon is focused on today consistent or inconsistent with a couple months ago when Lowell McAdam was on TV describing in gory detail the impact on consumer wireless at next year's Super Bowl on a 5G implication, but I think that's kind of been walked back to maybe some fixed wireless application and allowing the rest of the world somewhere out to 2020. So let's probe into what they may be talking about on home broadband and, Mike, maybe you can talk about some...
G. Michael Sievert - Chief Operating Officer: I'm glad that Verizon finally cop to the fact that a lot of that 5G bluster they've been putting into the market place is actually really about home broadband because they've been running around saying that 5G is about to launch any second now and getting people fired up when really what they're talking about are fixed station modems at fixed locations and it's going to be a little bit more time before they're able to get it to mobile as the industry matures. So the fact they're starting to clarify some of their earlier rhetoric is I think nice to see. Look, this is an opportunity, but let's not discount the opportunity that it already represents for our customers. Yes, there is an opportunity down the road particularly with 5G as we get some increasing breakthroughs in bits per hertz that the wireless technology can deliver. There is some potential for wireline displacement and we're interested in that as much as anybody. But remember, right now, we probably have the largest proportion of customers who rely on their wireless carrier as their only Internet connection, as their only one and its growing. At MetroPCS, it's significant double-digits and at T-Mobile slightly less but still we probably have the highest proportion customer base that is now using their mobile connection as their only mobile connection and an even larger number using it as their primary connection to the Internet. And so strategically mobile is becoming more important in people's digital lives and that positions a company like us who is really great at delivering high-capacity mobile solutions very well.
Walter Piecyk - BTIG LLC: So in the 5G though, when they were asked about that, you're right, I think that they went more to the fixed but they were also saying that look, we are more aggressive than everyone else and everyone is going to follow us. And frankly, on the Crown Castle call they were showing some fiber links in some cities where there were multiple carriers on their fiber. So it sounds like the small cell stuff is something that you guys are also embracing now. And, I guess, Verizon's point is that you're ultimately going to do a lot more aggressively like they are in the future once you start hitting some of your capacity limits?
Neville R. Ray - Chief Technology Officer & Executive VP: Let me pick up, Walt, I mean, I think on the fix piece rate, it's interesting, right. I think the industry is trying to understand what's going to be the best application in the 5G space with this high banded spectrum rate and you see the U.S. plan it's got stuff up to 70 gigahertz and we all know the physics and engineering challenges in getting that type of spectrum to propagate effectively. Now, that said, there's a lot of advancements coming through LTE which will be bolted into and built on in 5G that has the or have the potential to increase propagation and capability of high banded spectrum. Now on the fixed side, I mean, the one thing that Verizon and I think others are talking about, I think in the first part of your question you talked about some form of customer premise equipment which is very different that something set inside your house today. It's some form of structure or installation maybe on the rooftop of your house and that maybe what's required to secure the home broadband experience with the high banded spectrum. So there's a lot of folks looking at this trying to understand what the cost would be, the deployment challenges, there's a whole host of things to work through here. Verizon is looking at that. I think we're all looking at that. We are running our own 5G trials. We've got our lab work underway. We'll do our field trials this year. There's nothing there really doing which is way out in front of anybody else. I think they backed away from some of their earlier statements they're talking now about fixed wireless in the 5G space in 2018. So that's moved back right now a year or 18 months from some of the early statements they made not even a couple of quarters ago. So I think they're starting to understand as they get into this the complexity and challenges involved. Now to your second question in terms of what happens with small cells? Obviously, we are busy on small sales. We can come back to 1001 other things we're doing to continue to deliver the fastest network in the U.S. and the great capacity experience. And that workhorse for this industry is LTE and LTE Advanced really over the next 5 to 10 years because it's the macro layer of LTE that is going to deliver the great broadband experience. Now we are going to be supplementing capacity as will many others in hotspot environments be that in LTE and/or in with 5G capabilities when that comes to bear and that's the best place for 5G to play. Right. It's going to be in hotspot locations where the propagation and physics of high banded spectrum are less of a concern. And so, everybody, you know, us particularly that's our primary interest. You look at the large volumes of spectrum, how do you apply that best in a mobile environment in areas of capacity concern that will come at us into 2020, 2021 type timeframe. And we're there. Obviously, we're pushing hard on small cell capabilities, we're building our fiber out, not building our own fiber but leveraging fiber that's there from others. And you'll see us start to densify this network. What is the most dense network in the U.S. today, right, coming from T-Mobile, you will see us continue those efforts and stay ahead of the competition. I always talk about the best proxy for the capacity offered in the U.S. today is the fastest network. And here we are nine quarters in a row and approaching two-and-a-half years, we're the fastest network in the U.S. And if I'm Verizon, one, I'm pretty frustrated about that. Two, I'm looking over my shoulder because T-Mobile may match my breadth if not exceed it with the largest network in the U.S. before too long. So what do I do? I change the nature of the game. I try and change it anyway and change the discussion to something which is as loose and amorphous as 5G is today in the hope that enables me to maintain some form of view of a superior network experience to come. Good game. But the next two to three years, you will see us push and be the fastest growing, the fastest network and the most advanced network with what we're doing on LTE.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: You know, Walt, what's was really interesting is Verizon spent billions of dollars on their brand saying that they're the leaders in network but the facts of the matter don't support that. Neville, why don't you to talk a little bit about VoLTE.
Neville R. Ray - Chief Technology Officer & Executive VP: Yeah. I think on – if we look at capacity right and folks ask this question about where are we heading with capacity growth on our network. And there's a number of things that we're working through. Obviously, the deployment of 700 MHz is great. We have AWS-3 spectrum which we'll get to customers in the early part of 2017. But probably, the biggest thing to think about is, I'll do rough math for you. Half our network, just over half our network today is LTE in terms of the spectrum that we own. So half our spectrum is on the LTE technology and that covers almost 90% of our data and today and this is the really interesting stat, 53% of our call volumes are on LTE with Voice over LTE. So, when you look at the other half of the spectrum of what it's doing, it's not doing that much. And so our biggest opportunity and what we're working through very hard this year and we will continue next is how we reform and bring the benefits of the other half of our spectrum towards LTE and all the inherent multiplying efficiencies that LTE brings as contrasted to legacy networks. When I look at our competitive set, some of them without even one VoLTE capable handset in the marketplace today are struggling to drive VoLTE at the pace we have, nobody coming anywhere close to the level of VoLTE calling. You have to look hard at their spectrum positions and say how do they make it through the next two to three years. What are they going to go do? Because 5G is not going to solve anything for anybody in terms of capacity on these networks for some time to come. So LTE is the workhorse and I think we've been very loud and proud about having an all-LTE network, first to stability, first to ICS, first to EBS now. I mean, we have the leading LTE network in the U.S. There is no doubt hands-down, we are pushing the LTE technology faster and harder than anybody else and we will be the first to deliver on all LTE network product across the U.S. marketplace.
John J. Legere - President, Chief Executive Officer & Director: So, thank you for giving us a few seconds to vent about Verizon. I would like to preliminarily announce that it's highly likely over the next two quarters that Verizon will take over the dumber spot of Dumb And Dumber from AT&T. We still have a soft spot for AT&T because they are by far the biggest contributor of postpaid ports into our company. By the way, 80% of the postpaid porting come from AT&T and Verizon. So if you ever wonder why we focus so much on them and the pride factor for Neville and for the employees at T-Mobile is this 5G shenanigans is nothing other than a scream for help to try to capture a brand to have something to say in your Better Matters campaign when T-Mobile now has 308 million POPs, virtually the same coverage, 194 million POPs of 700 MHz deployed and T-Mobile is showing up for the low band options in a way that could set us up for the future. And in effect, you may have even seen it, Walt, I know you are a big follower of rap, I even wrote a rap song for Verizon because their earnings were so easy that I hope the Millennials could follow this. And it really is our revenue declined, we lost postpaid phones, we walked back on 5G and we still hope to get some Millennials. I mean, that in effect is all you need to know about Verizon's earnings and what they're doing on 5G. Okay. Operator, next one?
Operator: We will take our next question from John Hodulik with UBS.
John Christopher Hodulik - UBS Securities LLC: Okay. Thanks. Maybe another one for Neville. I mean, given the usage you're seeing from Binge On and the unlimited offering and the use of mobile for fixed, are there any data usage stats that you could share with us on a per device basis? And maybe talk about some of the growth you're seeing in traffic over on your network? And then actually a question back on prepaid, the prepaid share number really stood out and I take it that was likely driven by the improvements in the network. Is this sort of sub four level? Is it more seasonal or is it more secular and do you think you can keep it below 4% going forward? Thanks.
Neville R. Ray - Chief Technology Officer & Executive VP: Hey. John, let me take the first piece. So, the way we look at the network loading, I mean, it's effectively doubling year on year, right? I mean that's been our historical run rate for the last two to three years. I see nothing that would say it will be any different in 2016 and into 2017. Mike actually talked about the offset with Binge On and the efficiencies it brings back into the network that's north of 10% now with a large number of customers congesting video on 480p compared to 1080p or 720p. So those things actually help. But I touched on some of these. Obviously, we're working very hard to build a more efficient network product and that's everything from deploying the new spectrum assets that we have in the house, redeploying the old spectrum assets that we've had in 1900 PCS for some time, the VoLTE push, MIMO is coming this year for us. So this is another maybe a tone competitively for the other folks out there. I mean, we're predominantly 2x4 today on MIMO, we'll be 4x4 this year. I love to see where the competitive set will be on that. Three-way carrier aggregation is coming; allowing us to force and push our speeds up, the three-way carrier ag, which we'll have live in some areas in some markets, certainly mid-year. That's a 300 Mps type peak speed. We're going to continue pushing every which way on capacity. We're also pushing on on license. So there's a couple of Twitter questions floating around on what's happening with LTE-U and LAA. I'll tell you there we're frustrated and we're not seeing the progress that we would like to see. We still have an ambition to push solutions into the marketplace inside 2016. But based on where we are from a regulatory perspective at this point in time, the light is dimming there a little. But that said, we are making good progress. We have an SDA under review with the FCC which would allow us to advance testing. Pieces like that, us leveraging unlicensed spectrum when you think about it in 2017 and 2018, there's a lot of different options for us to expand not just the reach but the capacity and capability of the network. So, a lot of growth around us, but that's the game and the fascinating piece for me is if our competition is going to make the big bet on 5G then let's watch the networks implode in 2017 and 2018 and 2019 before there's any cavalry coming with 5G and capacity and benefit from that in the 2020, 2021 timeframe. So, game on. The next two to three years it's critical and LTE Advance is going to be the workhorse and, as I said earlier on, we will lead.
John Christopher Hodulik - UBS Securities LLC: What about monthly usage for smartphone. Can you give us that and maybe how quickly that's grown?
Neville R. Ray - Chief Technology Officer & Executive VP: It will be on par with what I've said on kind of a year-on-year basis. You can back into those numbers, John. We don't normally disclose a monthly number.
John Christopher Hodulik - UBS Securities LLC: Got it.
G. Michael Sievert - Chief Operating Officer: And John on prepaid churn, yeah, thanks for the comment. We're delighted with where things are. We don't guide on churn specifically, but there are some tailwinds to our business that are generated by a couple of things here. Number one, the fact that MetroPCS continues to grow as a proportion of our total prepaid subs. Metro traditionally has a much lower churn rate than other prepaid brands, and including our T-Mobile brand, and that's because its business model is different. At Metro, we have – it's predominated by exclusive distribution, which is relationship based and we are able to more tightly manage those relationships with customers. It has much higher device attach. And device is really important for a longitudinal relationship with the customer and we do some amount of device subsidies there. And, of course, Metro, as opposed to some of the competitors out there, is attached to the T-Mobile network, which has been rapidly expanding and improving, as Neville said. So all those things generate lower churn than a typical prepaid business has, and as Metro grows as a percentage of our total base, we see some potential for improvement there. And you saw in the results this quarter as Metro predominanted an all-time record 800,000-plus net adds in the quarter.
John J. Legere - President, Chief Executive Officer & Director: Okay. I want to go to Twitter. A question came in, I think, Walt Piecyk moved over to this forum since we got him on his call. Can you provide an update on porting ratios by carrier? Yeah, this is another area that we are very pleased and very comfortable with and very consistent on. As we said, overall porting against the industry has been positive for 12 quarters. It's been over nine quarters where each one has been positive. The overall postpaid porting ratio in Q1 was 1.5, so 1.5 times, which is something we're very comfortable with. That's down from 1.67 times last quarter. The way it breaks down by carrier is AT&T was 1.75; last quarter it was 1.92. Verizon was 1.34; last quarter it was 1.44. And Sprint was 1.35; and last quarter it was 1.56. Two comments. One is that we don't want to start switching the data that we look at. But we're looking, as you may have noticed, our way to compete with Sprint is via MetroPCS. So we are very much targeting Sprint users with MetroPCS offers. So when you look at the porting between Sprint and MetroPCS and T-Mobile, that's in the 1.6 to 1.7 range over the last quarter. I think that's a strong way for us to look at it and we will continue to. Second thing is, in the short part that we've had in Q2, as we said, very important trends we're looking at is AT&T has gone back up last week towards 1.8 from 1.75 and Verizon has gone back up towards 1.5. So, as I said, in the long term, these are all porting rates that we are – if everybody's happy with this, we're really happy and we can just keep going on this way and we'll be twice as big as them in a specific period of time. Let's go to the phone for another question.
Operator: And we'll take our next question from Jonathan Chaplin with New Street Research.
Jonathan Chaplin - New Street Research LLP (US): Thanks. One quick one for Braxton and then one for Neville. Braxton, just to sort of add more specificity around some of the comments you made on free cash flow. I think given the ramp in EBITDA, you're looking at flat CapEx. And your prior comments on the sort of working capital drag being down, it looked like free cash flow sort of $1.5 billion to $2 billion should be easily achievable. I'm just wondering if there's anything that would have changed that view in the quarter. And if that's the case, it looks like you've got more resources than you need going into the auction just from sort of cash on hand and free cash flow that you generate. With the extra $1.35 billion you're raising from DT, just the sort of putting in place an incremental cautious cushion or are there other uses of free cash flow that we're not thinking about? And then for Neville, I realize you guys are still making progress on using LTE and unlicensed spectrum, but it looks like that's been pushed back by at least sort of 18 months in terms of being something that could come to market. Has that changed your network plans at all? When do you think you will be able to get all of your spectrum moved over to LTE? Thanks.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Yes, Jonathan. Hey, by the way, great title on your piece this morning.
Jonathan Chaplin - New Street Research LLP (US): Thanks, Braxton. You guys deserve it.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Ghetto Superstar, that's pretty impressive. Love it. Okay. To answer your questions, you are directionally correct on all of the comments that you made. You really go through the piece parts on your views on cash flow generation are spot on. There are no other uses of cash other than for the spectrum; we're generating significant cash flow on the business. The only reason that we've raised any additional funds to which I commented a total of $9 billion, $5 billion on balance sheet, $4 billion committed bridges from DT, is for spectrum opportunities that are in the marketplace. And there had been no changes in the quarter that would change our view at all as to total cash generation for the business.
Neville R. Ray - Chief Technology Officer & Executive VP: Let me pick up, Jonathan, morning, on your two questions in there for me. On leveraging LTE-U, LAA and the 18-month statement, we're not buying into an 18-month delay on that. I think I referenced this just in the prior dialogue. We are still pushing very hard. We've made progress with the Wi-Fi Alliance and all of its constituent members on the test spec. As I said, we've applied for an FDA, which I believe will be favorably reviewed and approved by the FCC shortly. And testing will move through the next two to three months at a fairly quick pace. We actually have commercial kind of small cell product ready to roll, that's LTE-U capable. And the handsets being the long pole in the tent, we're still pushing with our OEMs for 2016 capability. That piece may slide into early 2017, but that's kind of the timeframe for us at this point in time. It's a 4Q kind of 1Q 2017 story and we're going to keep pushing very, very hard. A lot of consumer benefits in there. That said, have we rolled this in and included this as a key element of our capacity growth and the answer is no, not yet. I think all of the measures that I talked through earlier on that's our plan A. We want to clearly move into leveraging LTE-U, ton of consumer benefits, speed and capacity on so many dimensions there. And that will become something more formative really in the 2017 and 2018 timeframe. And then finally, the kind of all-LTE story, I mean, what you'll see us do this year is, our GSM network, it carries very, very little traffic today. By the end of the year, that will be down to a very, very thin kind of skinny GSM layer, small number of channels to support kind of nomadic and non-mobile GSM products and services, which there is a demand for and we'll leave that be for some period of time. We're not retiring GSM; we don't need to go there. We've figured out how to put a thin layer of GSM in and amongst us our other technology assets. And then the main push is how fast can we continue to drive VoLTE into our base and retire UMTS and HSPA voice services. That won't complete in 2017; that'll probably be a tale in 2018. But we're driving that as fast as we can. And with 53% of all of our core volumes on VoLTE today, that number year ago was about 9%. So we're moving at a tremendous pace. Our VoLTE performance is, I believe, second to none globally in terms of adoption and the performance of the VoLTE layer, and so our ability to move to an all-LTE product is way out in front of any of our competitors at this point in time. And I'm hopeful we'll come in long before 2020.
Jonathan Chaplin - New Street Research LLP (US): So, Neville, just to wrap some specificity around that quickly. On GSM is a very thin layer, sort of 5x5 or even less than that. And what would you need sort of at the end of this year for UMTS voice in terms of spectrum allocation?
Neville R. Ray - Chief Technology Officer & Executive VP: Yeah. It's definitely less than 5x5. And that's the purpose. I'm talking of maybe half a dozen channels of GSM, right.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: For machine-to-machine purposes.
Neville R. Ray - Chief Technology Officer & Executive VP: So for machine-to-machine, nomadic services really non-mobility GSM and there's a lot of customers that want that. And it's more beneficial and cost-effective to actually run that service for a period of time until we move into thinner LTE products, the IoT space, et cetera. You don't have to wait for 5G for those things to come through. But the thin GSM will be there for a period of time. On UMTS, I mean, we have – you can run the math on our spectrum assets today and it varies by market. But I'd love to get down to kind of a 5x5 carrier on UMTS in the 2017 timeframe, 2017 in probably some markets, a little more than that in 2018, but that's the goal and objective in front of the team.
Jonathan Chaplin - New Street Research LLP (US): Got it. Thanks, guys.
G. Michael Sievert - Chief Operating Officer: Hey, Jonathan, your question brings an opportunity to raise an interesting point to amplify something that Braxton said, which is – and we've been foreshadowing this for a while. But we've reached a point in the last quarter where device financing wasn't really a material cash – didn't really have a material working capital impact on our cash. And that's a big milestone we've been talking about for a long time. It's kind of a good guy hidden in the numbers. In our Factbook, we tell investors how to make the calculations because we have both have EIP and leasing now. But in the quarter, overall net-net handset financing consumed about $104 million, which is a great place for us to be now as that overall working capital account across leasing and across EIP, even though geography is very different, is not materially growing in the last quarter.
John J. Legere - President, Chief Executive Officer & Director: Hey, operator?
Operator: We'll take our next question from Craig Moffett with MoffettNathanson.
Craig Eder Moffett - MoffettNathanson LLC: Hi. I guess, I'll return to the free flow question one last time, Braxton. And given your comment about the ramp that you expect in free cash flow, as do we, the obvious question is, how do you think about your priorities for capital allocation over the next couple of years with respect to delevering? And if it turns out that Deutsche Telekom isn't interested in reducing their stake then how do you think about share repurchases in the open market?
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Yeah. Let me make one comment, Craig. And we did file an update to our shelf registration statements yesterday and those were purely administrative. As per the original shareholders' agreement, we had a requirement to register DT shares and debt, and we are approaching the three-year mark on that initial registration. So it's just purely an administrative item. Obviously, the best use of cash is to invest in the operations, but now that we've reached a significant inflection point of rapidly growing cash with the only potential use for that cash, excess cash, opportunistic spectrum transactions. It gets really exciting in the not short term, but the midterm, given what we're seeing with the business. It is a potential that we can start returning cash to our shareholders, which really changes the whole makeup of our company. But that's not to be expected in the short term. We are taking our leverage up; we'll have to see what happens with the auction. We'll organically delever rapidly as we've continued to delever over the last couple of years. But the possibility of shareholder returns is viable when you look at in the medium term. So, very, very good question.
Craig Eder Moffett - MoffettNathanson LLC: Thanks, Braxton.
John J. Legere - President, Chief Executive Officer & Director: Okay. We're going to take one last question from the phone. And I am warning you, depending upon the length of this, I've got to leave to get down to the Exchange to talk to CNBC. So operator, go to the next one and if Braxton gives you the thank you and you don't hear my voice, it all depends upon the volume of the answer to this one.
Operator: Thank you. And we'll take our next question from Ric Prentiss with Raymond James.
Ric H. Prentiss - Raymond James & Associates, Inc.: Hi, guys. Thanks for slipping me in there. One quick one and then one broader one. The quick one is, taking the low band spectrum up to 258 million POPs rapidly, have you already closed on that spectrum and is that baked into the 260 million POPs to 270 million POPs marketed stores by mid-2017?
John J. Legere - President, Chief Executive Officer & Director: Yes. We own that spectrum and we're planning to rapidly build against that. Neville can give you a little bit on the timelines. I think he addressed that a little while ago.
Neville R. Ray - Chief Technology Officer & Executive VP: Let's clarify it. The transactions that were entered into the first quarter of this year have not closed. We have executed transactions, we have to go through the FCC approval, so we have not paid and closed on those. We did close the fourth quarter transaction and pay for that in the first quarter.
John J. Legere - President, Chief Executive Officer & Director: Let's continue to point out that the footprint that we cover now is 308 million POPs. We've got amplified coverage in the 258 million POPs and growing. So from a standpoint of retail presence, it's driven by the former. But Neville, why don't you continue?
Neville R. Ray - Chief Technology Officer & Executive VP: Yeah. So we are waiting on approval on some of those licenses, Ric, but that doesn't prevent us from doing the work we need to do ahead of time from a site perspective, there's de minimis risk on approval on those deals. The other piece we haven't talked to you today is where will we end up the year in terms of covered box. I'm kind of laying down the gauntlet with my team. We're not going to rest until we have a network as big as Verizon's, if not bigger. I would like to get as close to that number as I can by the end of this year, which means we'll be north of 310 million POPs. That's going to be primarily driven by what we can achieve on additional 700 MHz rollout.
Ric H. Prentiss - Raymond James & Associates, Inc.: Okay. And the broader question is back to the fixed wireless broadband comments earlier, Google Fiber came out – was talking about interesting going beyond fiber to a fixed wireless aspect. Can you update us just kind on where you are with technology companies and kind of supporting maybe people that want to get in and further shake up the industry? You guys have done a good job shaking out.
John J. Legere - President, Chief Executive Officer & Director: Say more about what you mean by the question, Ric?
Ric H. Prentiss - Raymond James & Associates, Inc.: Yeah, sure. So Google Fiber came out in an interview about a week-and-a-half ago talking about how they really want to push beyond where fiber is economic and go into areas where possibly fixed wireless broadband would be more important. You guys also have some other relationships with Google. So I'm just trying to understand they are obviously not coming to the broadcast auction, but if you had any update for us in kind of your dealings with nontraditional companies and telecom?
John J. Legere - President, Chief Executive Officer & Director: Got it. Not a lot that we can get into other than the fact that a lot of us share the same goals. I mean, one of the things we've said before is that all content and consumption is rapidly transferring to the Internet, and the Internet itself is rapidly transferring to mobile. That positions us in a pretty good spot. So, as you know and as we've talked about, we have deep partnerships with some of these companies, we're working with them collaboratively. Google is an interesting company. They really want to see great broadband Internet reach every person. And, obviously, wireless is a really important tool on how to do that. They've made investments in fiber because they want to see great unfettered access in urban and suburban communities, but there's also an opportunity for wireless to reach people. And as I said earlier, we have the biggest base of customers in a proportion who rely solely or mostly on wireless for their Internet connection in the first place. And that positions us as a company and as a brand really well as wireless becomes a more and more important part of the overall Internet story for typical consumers. I mean, think about your own behavior. We all spend way more time on our wireless device accessing the Internet than any of us would have guessed a couple of years ago. So that opens up lots of partnership opportunities for us. I mean, I don't have announcements for you today about those partnerships, but the premise of your question is spot on.
Ric H. Prentiss - Raymond James & Associates, Inc.: Great. Thanks. And that'll help a lot with the periscopes, too, I guess.
John J. Legere - President, Chief Executive Officer & Director: Right on.
J. Braxton Carter - Executive Vice President, Chief Financial Officer: Well, we want to thank everyone today for tuning in and definitely looking forward to speaking to you again in the second quarter earnings call. And have a great day. Thanks for your interest.
Operator: Thank you, ladies and gentlemen. This concludes the T-Mobile US first quarter 2016 conference call. If you have any further questions, you may contact the Investor Relations or media departments. Thank you for your participation. You may now disconnect. And have a wonderful day.